Operator: Welcome to Informatica's Fiscal Third Quarter 2022 Call. My name is Drew, and I'll be coordinating your call today. [Operator Instructions]  I'm now going to hand over to Victoria Hyde-Dunn, Vice President of Investor Relations, to begin. Please go ahead.
Victoria Hyde-Dunn: Good afternoon, and thank you for joining us to review Informatica's third quarter 2022 earnings results. Joining me on today's call are Amit Walia, Chief Executive Officer; and Eric Brown, Chief Financial Officer. Before we begin, we have a couple of reminders. Our earnings press release and slide presentation are available on our Investor Relations website at investors.informatica.com. Our prepared remarks will be posted on the IR website after the conference call concludes. During the call, we will be making comments of a forward-looking nature. Actual results may differ materially from those expressed or implied as a result of various risks and uncertainties. For more information about some of these risks, please review the company's SEC filings, including the section titled Risk Factors, including our most recent 10-Q and 10-K filing for the full year 2021. These forward-looking statements are based on our information as of today, and we assume no obligation to publicly update or revise our forward-looking statements, except as required by law. Additionally, we'll be discussing certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for, measures of financial performance prepared in accordance with GAAP. A reconciliation of these items to the nearest U.S. GAAP measure can be found in this afternoon's press release and our slide presentation available on Informatica's Investor Relations website. It is my pleasure to turn the call over to Amit.
Amit Walia: Thank you, Victoria. Good afternoon, everyone, and thank you for joining us today. Let me share business insights from the third quarter and observations for the fourth quarter before turning the call over to Eric to recap Q3 financial results and provide full year and Q4 guidance. Now turning to results. Q3 was highlighted by solid ARR growth and bottom line performance. We exceeded the high end of our guidance range for subscription ARR, growing at 27% year-over-year. Cloud ARR grew 39% year-over-year. And total revenues increased 3% year-over-year. The quarter was primarily impacted by broader macroeconomic environment, including FX headwinds from the U.S. dollar strengthening and elongated sales cycles that required higher-level approvals for new deals. We are pleased to deliver non-GAAP operating income at the high end of our guidance range at $84 million. Now in the past few weeks, I have traveled extensively and met with customers, partners, prospects and our employees across the globe, U.S., Europe and Asia. Three common themes remain top of mind throughout my conversations. First, demand for data-driven digital transformation remains amongst the top priorities for IT spending in the coming year. Secondly, however, the macroeconomic environment remains at the forefront of business planning, and customers are adjusting to the changing environment in real time. And lastly, while cloud adoption remains healthy, customers have become more measured in how they purchase. Sales cycles have stretched, new deals are being inspected with more scrutiny, but deals are still closing. Taking this all in, we expect the macroeconomic headwinds and customer behavior trends to continue in Q4. We're also reviewing internally how we can be more effective as we move to a cloud-only selling motion. For example, we are making a leadership change in our Asia Pacific region to drive further cloud acceleration. We have forced us into our guidance -- sorry, we have factored this into our guidance as we continue to take a prudent approach for the remainder of the year. As a result, we are lowering full year 2022 guidance for total revenues and ARR metrics. However, we are reiterating non-GAAP operating income and unlevered free cash flow midpoint guidance, demonstrating strong profitability and proving the resilience and durability of our business in this economic environment. Now turning to our strategic priorities and continued key areas of investment focus. Let me share highlights from product innovation, strategic partnership expansion and go-to-market. Now we've prioritized our R&D investments supporting accelerating the cloud road map and strategic cloud partnerships critical for our long-term success. Let me share details for our 4 distinct customer journeys. Beginning with analytics, we added new capabilities such as bulk replication from SAP, Zendesk, NetSuite and ServiceNow into Databricks as a target via our wizard-based application ingestion. At runtime, we improved the performance of many of our cloud data warehouse connectors along with enhancing the ELT functionalities of our overall Databricks capabilities. Turning to the second customer journey, MDM and Business 360 apps. We delivered MDM SaaS for Azure, bidirectional integration between Customer 360 SaaS and SAP ECC and S/4HANA and clear similar record recommendations natively in Salesforce. We enhanced our health care extension with prebuilt integrations and a new insurance extension to manage customer, policy and agent master data. We also delivered integrated capabilities of MDM scanners for cloud data catalog and governance to simplify the cataloging of master data and mapping lineage. You can see how different products on the IDMC platform are cross-functioning with each other. In the third customer journey, data governance and privacy, we delivered deeper integration with Snowflake, enabling customers to secure their data with automated tagging of cells to data elements. Our cloud data governance and catalog service enabled comprehensive data discovery and lineage for the SAP ecosystem spanning apps, databases, business warehouses and BI tools. In our Cloud Data Marketplace service, we enabled support for real-time contextual messaging between data producers and data consumers and also automated approval and delivery of data requests to accelerate time to value. And our Data Quality suite has enhanced rule automation based on NLP, natural language processing, and algorithms for automated anomaly detection. And lastly, in our fourth customer journey, which is app integration and hyperautomation, we're integrating and connecting apps to automate end-to-end business processes and announced our beta program for API Center. These journeys are made possible by our Intelligent Data Management Cloud, IDMC, platform powered by CLAIRE, our AI engine, with over 50,000 metadata-aware connections and now leveraging 17 petabytes of active metadata in the cloud. IDMC continues to deliver mission-critical solutions and operate at a significant scale, processing 44.5 trillion cloud transactions per month as of September, an increase of 91% year-over-year, reflecting the continued growth in usage of the IDMC platform. Our differentiated cloud technology platform, IDMC, has been widely recognized by marketplace and reflects our ongoing commitment to delivering product-led innovation globally. We are again proud to be recognized as a Leader in the 2022 Gartner Magic Quadrant for Data Integration Tools. This marks 17 consecutive years of being a leader, and Informatica has once again positioned furthest on the axis for completers of vision and highest on the ability to execute axis. We also scored highest in all four data innovation tool use cases in the 2022 Gartner Critical Capabilities for Data Integration Tools report and was named a 2022 Gartner Peer Insights Customers' Choice for data masking. We're also pleased to be recognized as a leader in the IDC MarketScape: Worldwide Data Catalog Software 2022 Vendor Assessment report. This is the second consecutive time Informatica was named a leader. And with the TSIA or Technology & Services Industry Association, the leading association for today's technology and services organizations, awarding Informatica with the 2022 STAR Award for innovation and excellence in three key categories: customer growth and renewals, customer success and support services automation all in 1 year. Informatica entered the TSIA Hall of Fame as a winner of five TSIA STAR Award categories since 2020, highlighting our commitment to customer success. Now turning to our next priority, where we strive to make Informatica the easiest to do business with and win together with our partners. Core selling with our ecosystem partners continues to prove to be successful, as reflected in our continued acceleration of cloud marketplace transactions, which grew 63% year-over-year. We engaged with the community of customers, partners and prospects at various Informatica World Tours across the globe in various cities. We were named an initial premier partner for the Microsoft Intelligent Data platform initiative, and we launched Data Loader for Azure Synapse at Microsoft Ignite. We also highlighted our strengthening partnership with Oracle Cloud at CloudWorld. And in the GITEX Global 2022 event in Dubai, we signed a multiyear strategic framework agreement with Abu Dhabi Digital Authority to enable enterprise data management services to 76 government entities in Abu Dhabi. Turning to our global system integrator partners. We saw good progress last quarter with Accenture, Deloitte, Wipro, Capgemini and Cognizant, all involved with maintenance to cloud migrations. Several GSIs and boutique partners embedded in the Migration Factory into broader enterprise modernization programs that will be delivered using the Centers of Excellence that our partners build during 2022 to meet the demand for maintenance to cloud migrations. And now turning to our go-to-market. Our sales motion and customer relationships remain strong, as highlighted by the number of customers spending more than $1 million in subscription ARR, that increased by 50% year-over-year to 191 customers. Customer spending more than $100,000 in subscription ARR increased 17% year-over-year to 1,852 customers. This demonstrates our ability to win new workloads with large organizations and drive ARR growth across customers of all sizes. Our focus on Global 2000 customers, Fortune 500 customers and vertical industries such as retail, finserv, health care and life sciences remains unabated. Let me give you a few examples. We added many new market customers, and I'll begin with the new names, a few names, including Uber Technologies. Continuing on, GM Financial, a global provider of auto finance solutions with operations in North America, South America and Asia, selected our IDMC platform to modernize its data and analytics program and provide a 360-degree view of customers amongst many other data capability enhancements. Blue Cross and Blue Shield of Kansas City or Blue KC is a not-for-profit health insurer providing health coverage services to millions of customers. Blue KC sought a unified source for their provider data to enable streamlined transactions and reporting and selected our MDM solution for that. Banco Nacional de Costa Rica is the largest commercial bank in Costa Rica and the second largest in Central America by assets. Informatica's Customer 360 SaaS solution will serve as a central platform to address the data challenges and needs to move to cloud. And finally, a great cloud migration story with Dana-Farber Cancer Institute located in Boston and one of the world's leading cancer research and treatment centers. Dana-Farber was looking for a new platform to keep up with surging demand from clinical, research and business users and to modernize a cloud data warehouse. They selected IDMC as a single platform for data integration needs. We continue to expand the IDMC platform and make it more accessible to customers, industries and vertical use cases. Just yesterday, we announced the availability of IDMC for higher education. We worked with educational institutions such as Old Dominion University and Australia's La Trobe University to help them improve customer -- student recruitment, retention and alum outreach with accurate data management and analysis. As we continue to accelerate our transition to cloud-only company, our P&L remains strong, demonstrating profitability and free cash flow generation. To expand on this, firstly, we are fortunate to have long-standing customer and partner relationships. Our customers comprise of a high-profile brand across the leading G2K companies. Customers choose Informatica for a breadth of data management use cases as a single platform and best-of-breed solutions. Their commitment to us is reflected in our best-in-class mid-90s renewal rates. Additionally, our Switzerland of data management position with ecosystem partners is something that customers value. Our broad partnerships with hyperscalers and GSIs are also competitive differentiators. Secondly, as mission-critical workloads expand, we've scaled our platform to process over 44 cloud transactions per month, up from 23 trillion cloud transactions a month a year ago, with seven best-in-class product suites to become the industry's only AI-powered data management platform. Next, as we continue to invest in R&D to further our cloud road map and strategic partnerships, we have done that with the resiliency and durability of financial model. We have continued to maintain non-GAAP operating income guidance range and gross margin profile at 80% throughout the year. We will continue to be good stewards of capital. And finally, while there is continued uncertainty, the momentum towards multi-cloud workloads remains strong, we have demonstrated growth across our subscription business with our ability to adjust to different environments through decades of experience. We will stay flexible and agile. We are fortunate to have this resilient business with significant momentum and extraordinary long-term growth opportunities. Now none of this would have been possible without the support and execution from our amazing Informaticans across the globe, and I'd like to thank each and every one of them. And of course, I'd like to thank all of our customers, partners and shareholders for their support. With that, let me hand the call over now to Eric. Eric?
Eric Brown: Thank you, Amit, and good afternoon, everyone. In the third quarter, we delivered subscription ARR above the high end of our guidance range and non-GAAP operating income at the high end of our guidance range. Cloud ARR growth was within our expected guidance range, while foreign exchange rates negatively impacted results. Total GAAP revenue results were below the guidance range due to foreign exchange headwinds, lower self-managed subscription revenue and lower perpetual license revenue. As Amit noted, we experienced macroeconomic headwinds and elongated deal cycles. Nonetheless, demand for our IDMC platform remained healthy, as customers turned to Informatica to process mission-critical workloads globally. Although our business provides advantages in terms of geographic diversity, it comes with increased top line exposure to currency fluctuations. Since early August, there's been a significant appreciation in the U.S. dollar against the British pound, Canadian dollar, euro and yen, and U.S. dollar exchange rates are at levels we haven't seen in recent years. The stronger U.S. dollar has adversely impacted total revenues and ARR and has continued to move against us since we last spoke in our July earnings call. Let me provide commentary on Q3 results before discussing expectations for the remainder of 2022.  Turning to Q3 results. Total ARR increased 14% year-over-year to $1.47 billion and was driven by strong subscription renewals. Foreign exchange negatively impacted total ARR by approximately $8 million on a year-over-year basis. We added $180 million in net new total ARR in the third quarter versus the prior year. And importantly, we remain on track to deliver $1.5 billion in expected total ARR this year. Cloud ARR increased 39% year-over-year to $400 million, in line with our guidance range. Cloud ARR growth would have been approximately 40%, if not for the foreign exchange impact of approximately $800,000. We continue to see a sales mix shift from self-managed to the cloud, with cloud ARR now representing 27% of total ARR, an increase of 5 percentage points year-over-year. We added $113 million in net new cloud ARR in the third quarter versus the prior year. And sequentially, we added $27 million in net new cloud ARR. Turning to subscription ARR. This increased 27% year-over-year to over $936 million, $6 million above the high end of our guidance range and driven by new subscription customer growth and renewal rates, including cloud. The foreign exchange impact on subscription ARR was approximately $3.5 million. We added over $200 million in net new subscription ARR in the third quarter versus the prior year. The mix of subscription ARR is now approximately 64% of total ARR compared to 57% last year and reflects strong customer momentum. Our average subscription annual recurring revenue per customer in the third quarter grew to approximately $252,000, a 21% increase year-over-year on an active base of approximately 3,720 subscription customers. The subscription net retention rate was 112%, down 1% sequentially. As previously mentioned, we expect to see fluctuations in this metric due to the mix of new bookings from new customers versus existing customers and the timing of large initial deal sizes expanding in the first year. Lastly, maintenance ARR finished better than we expected, down 4% year-over-year at $531 million with a strong renewal rate of 96%, up 2 percentage points year-over-year. Foreign exchange negatively impacted maintenance ARR by approximately $4.4 million. As a reminder, we have significantly reduced sales of perpetual license and favorable cloud offerings, which has naturally resulted in a gradual decline in maintenance ARR over time. Turning to revenue. GAAP total revenues were $372 million, an increase of 3% year-over-year and $13 million below the low end of guidance. Foreign exchange impact in total revenues was approximately $15 million on a year-over-year basis and $2 million worse when compared to our July guidance assumption. The average contract duration in our self-managed business was about 4 months lower than expected, reducing subscription revenue per ASC 606 accounting standards with an impact of approximately $7 million, notwithstanding solid subscription ARR results. And additionally, perpetual license revenue came in below expectations by $2 million. Subscription revenue increased 10% year-over-year to $214 million. Subscription revenue represented 58% of total revenue compared to 54% a year ago. Our subscription renewal rate was 94%, up 2 percentage points from a year ago, further underscoring that we support our customers' mission-critical workloads. Maintenance and professional services revenue were in line with expectations at $157 million and represented 42% of total revenue. Stand-alone maintenance revenue represented 34% of total revenue. Consulting and education revenue make up the difference and fluctuate based on customer requirements representing 8% of total revenue. U.S. revenue grew 7% year-over-year to $244 million, representing 66% of total revenues. International revenue was down 4% year-over-year to $128 million, representing 34% of total revenues. Using exchange rates from Q3 last year, international revenue would have been approximately $15 million greater, resulting in international revenue growth of 7% year-over-year. Now turning to consumption-based pricing, also known as IPUs. Approximately 54% of Q3 cloud and new bookings were IPU-based, reflecting a healthy customer adoption momentum. And as of Q3, IPUs represented 33% of cloud ARR, up 3 percentage points sequentially. Before moving to our profitability metrics, I will discuss non-GAAP results for the third quarter, unless otherwise stated. The gross margin was 80%, consistent with our expectations and similar to the year's first half. For Q3 operating expenses, we slowed the pace of hiring, adding about 250 net new employees compared to the end of Q2, with over 90% of the new hires in low-cost locations. We continue to prioritize R&D investments supporting the cloud road map and the strategic cloud partnerships. Operating income was approximately $84 million and came in at the high end of guidance due to a reduced rate of spending. Operating margin was 22.5% and is in line with expectations due to the reduced rate of spending. And adjusted EBITDA was $89 million, and net income was $53 million. Net income per diluted share was $0.18, in line with our expectations based on approximately 287 million diluted shares outstanding. The basic share count was 282 million shares. In terms of capital structure and cash flow update, we ended the third quarter in a strong cash position with cash plus short-term investments of $648 million. Net debt was $1.2 billion. And trailing 12-month adjusted EBITDA was $354 million. This resulted in a net leverage ratio of 3.5x. We expect the business to naturally delever to approximately 3.2x by the end of this year and then to approximately 2x by the end of 2024. Q3 unlevered free cash flow after tax was approximately $77 million and $22 million better than expectations due to working capital improvements on better-than-expected cash collections and lower days sales outstanding. GAAP operating cash flow was $53 million compared to $38 million last year. Together, these results demonstrate our ability to drive a strong balance of growth and profitability. Now as I turn to guidance for Q4, let me give you some context regarding how we think about the remainder of the year. Q3 reflected a full 3 months of macroeconomic headwinds, and we expect this trend to continue in Q4. As you all know, given the continued variability introduced by ASC 606 accounting treatments for self-managed subscription revenue, we do not focus the business on short-term revenue growth, which can be lumpy quarter-to-quarter. We manage the business on ARR as it more accurately reflects customer commitments period-over-period and, in our opinion, is a better measure for the long-term growth and health of the business. Now looking at full year 2022 guidance. We are updating the following metrics for the year ending December 31, 2022. We expect GAAP total revenues in the range of $1.505 billion to $1.515 billion, representing approximately 5% year-over-year growth at the midpoint of the range. At the midpoint, we are reducing total revenue guidance by approximately $40 million compared to prior expectations due to the following reasons. First, we are carrying forward the Q3 revenue shortfall of $18 million, and we expect $22 million less revenue in Q4. Now as it relates to the expected Q4 shortfall, 1/3 is attributable to negative impact from foreign exchange headwinds, 1/3 is attributable to shorter deal durations for self-managed subscription contracts. And lastly, 1/3 is due to an expected reduction in self-managed subscription revenue and perpetual license revenue due to macroeconomic headwinds. And to recap, for the full year, we now expect FX to negatively impact revenues by $47 million on a year-over-year basis. We expect total ARR in the range of $1.505 billion to $1.521 billion, representing approximately 11% year-over-year growth at the midpoint of the range. And at the midpoint, we're reducing total ARR guidance by approximately $22 million compared to prior expectations. We expect foreign exchange to negatively impact total ARR by $23 million on a year-over-year basis for 2022. We expect subscription ARR in the range of $980 million to $990 million, representing approximately 23% year-over-year growth at the midpoint of the range. And at the midpoint, we are reducing subscription ARR guidance by approximately $15 million compared to prior expectations. We expect cloud ARR in the range of $425 million to $431 million, representing approximately 35% year-over-year growth at the midpoint of the range. The cloud ARR shortfall results from macro factors cited earlier as we move to a cloud-only selling motion. We feel good about the balance of our execution and, in particular, customer renewal rate metrics. We are updating non-GAAP operating income guidance to $330 million to $340 million and keeping the midpoint unchanged at $335 million as we continue to control spending and further optimize our ARR renewals business. We are reiterating the unlevered free cash flow after tax guidance range of $290 million to $310 million. We are establishing Q4 guidance for the quarter ending December 31, 2022, as follows. We expect total GAAP revenues in the range of $398 million to $408 million, approximately flat year-over-year growth at the midpoint of the range. We expect subscription ARR in the range of $980 million to $990 million, representing approximately 23% year-over-year growth at the midpoint of the range. We expect cloud ARR in the range of $425 million to $431 million, representing approximately 35% year-over-year growth at the midpoint of the range. And we expect non-GAAP operating income in the range of $93 million to $103 million. And for modeling purposes, we estimate Q4 unlevered free cash flow to be approximately $102 million. Now turning to tax. We reported Q3 non-GAAP net income and a non-GAAP tax rate of 23% and expect a similar tax rate for the full year. Looking at fiscal 2023 and beyond, we expect a long-term steady-state non-GAAP tax rate of 24%, which reflects where we expect cash taxes to settle based on our structure and geographic distribution of operational activity. Additionally, for the fourth quarter of 2022, we expect basic weighted average shares outstanding to be approximately 284 million shares and diluted weighted average shares outstanding to be approximately 288 million shares. For the full year 2022, we expect basic weighted average shares outstanding to be approximately 281 million shares and diluted weighted average shares outstanding to be approximately 286 million shares. The final topic I'd like to discuss is our IR metrics. Based on feedback from discussions we've had with the investor community, we are considering introducing cloud NRR as a new metric that would replace subscription NRR. We believe the cloud-based net retention rate is a better indicator to measure business performance as we continue accelerating cloud adoption and cloud consumption-based pricing efforts. This also removes the quarterly volatility associated with our self-managed subscription business. We will provide an update on these potential IR metric changes in conjunction with our fourth quarter results. This concludes my remarks. Thank you. And operator, you may now open the line for questions.
Operator: [Operator Instructions] Our first question today comes from Alex Zukin from Wolfe Research.
Alex Zukin : I guess maybe just one for Amit and then a financial question for you, Eric. I guess from a macro headwind perspective, we've heard now from some hyperscalers talking about a longer time line for customers to do cloud migrations with new workloads or greater focus on optimization. I guess when you're looking at your demand pipeline, can you kind of take us through incrementally from what you thought in 2Q to what you saw in the quarter? And then exiting in the last month of this current quarter, what's that progression? How much of that is impacting the cloud ARR numbers? And then, Eric, I just -- I'd love to get another shot at if we looked at those kind of NRR metrics from subscription to cloud, is there a heightened variance that you're seeing, particularly now as even the cloud migration seemingly stepped up?
Amit Walia : Thanks, Alex. Good to talk to you. Let me kind of parse your question, multiple questions. So I think, look -- I also mentioned I was -- actually I traveled across the globe, across every city, probably big city, I met almost 50-plus CIOs, CDOs. So I would separate the thing in 3 parts. One is there's definite heightened scrutiny and which is leading to longer elongated deal cycles. And to be candid, we saw that manifest itself a lot more towards the last two weeks of the Q3 that just ended, which is obviously clearly not in the early part of Q3. So it happened towards the last two weeks. What we've done is that, to your last part of the question, we saw that -- a great example of that is actually there was a multibillion-dollar cloud deal, which was tech win done, CIO committed in ultimate day of the quarter, basically, we pushed because, obviously, it went into increased approval cycle and elongated review. We've taken that, and that's what we have put the lens on in the entirety of Q4. We expect that to happen through all of Q4. And which is what -- when Eric gave the guidance, we baked that into what we feel will happen in all of Q4. It helps the reduction of the cloud ARR growth. Now to the other question, we do see -- like I said, the conversations around data-driven digital transformation and the projects that have to happen, they haven't gone down. In fact, my -- I was talking to the Chief Digital and Data Officer of a very large health care company in Paris, and he is like projects have to happen even if it may take more time. So we see the conversations, in fact, the attendance of Informatica World Tours was full there, but we absolutely see that everybody is going through this uncertain time. There can be obviously elongating cycles. So that's what I see with the entirety, and that's what we baked in, in our guide for all of Q4.
Eric Brown : And Alex, this is Eric. In regards to your second question, the subscription NRR number that we've traditionally reported includes self-managed plus DaaS plus cloud, of course. If we were to unpack that and look at just cloud NRR, it would be a few percentage points higher than the overall subscription average. And again, that's consistent with us pushing hard on consumption-based pricing, for example, in the cloud product suite.
Operator: Our next question today comes from Matt Hedberg from RBC Capital Markets.
Matthew Hedberg : Maybe, Amit, staying on the macro side. I'm wondering, it seems like a lot of this is Europe, certainly with the currency issues as well. Can you contrast, though, how the U.S. enterprise market performed relative to your expectations?
Amit Walia : I think when you think of the macro and you can put FX and all deal elongation all as a subset of the macro, because FX is -- or the macro -- is a direct output of macro. I would say it's a very interesting time. All of the Western Europe, U.S. economy and the larger economies of Asia are facing the same macro issues at the same time, whether it's inflation, rising interest rates or the war impacting things in a certain way that's driving economy, so on and so forth, very consistent across the globe. The only thing you could say that the war is a lot closer to the European continent, so they see it a lot more over there and feel it a lot more emotionally over there. But I would say that, Matt, your question, all these larger countries felt the impact, similarly -- I mean they can always be a little up, a little down. But it's not like -- there was no impact in some areas and 100% impact on the other area.
Matthew Hedberg : Got it. So it seems like U.S. was -- had some similar issues as international markets. And then, Eric, maybe I missed it. Did you give the -- what -- how the cloud conversions progressed this year in terms of how many of the maintenance customers had converted to cloud?
Eric Brown : Yes. We're up to a cumulative of 2.8% migrations as of the end of Q3, so that's up from 2.4% as of Q2 2022. And the conversion ratios are...
Matthew Hedberg : Some are upsell?
Amit Walia : Yes, some are upsell. We're still life to date above 2:1 in terms of net new cloud relative to the maintenance that's being migrated. So all the economics and the motion of the migration remains consistent.
Operator: Our next question today comes from Brad Zelnick from Deutsche Bank.
Brad Zelnick : Great. Guys, I've got one for Amit and one for you, Eric. Amit, just in talking about the cloud-only selling motion, can you just double-click on exactly what that means and why that's appropriate at this point in time, where we are? And then maybe for you, Eric, it's good to see the focus on non-GAAP operating income and cash flow, frankly, just given the environment and all that's happening in the world and your ability to protect it. But can you maybe also speak about what is it that you're having to sacrifice and how do you mitigate the risks of maybe tighter expense management? And I know you said things like DSOs and in managing working capital carefully. But any other color there would be helpful.
Amit Walia : Sure. Let me take the first one, and obviously, Eric will cover the second one. So I think going back to the question you asked, look, I think in general, I talked about the demand part of it. The [pipe create] looks healthy. We are not seeing any degradation to our win rates. So all of that area, no change. We basically continue to see adoption of the platform. I talked about the mid-90s renewal rates. I talked about customers using it with the 91% increase in the transactions per month on the platform. So IPUs are selling more, and we are able to cross-sell, upsell. So when I look at the fundamental intrinsic, I see all the health over there. Like I said, I think it's no surprise to anyone of us sitting around this call and you look around the world and we look at all the peer companies that, in general, there is an element of pick your favorite word, uncertainty, whatever it is across the globe, everybody is going through that. And that reflects in these longer deal cycles. I gave you a great example. I talked to that CIO. He is like, "Hey, look, do I have to do that project? Yes. "will I have to delay it?" Probably yes, too. We see that. And I think we'll see that in Q4, and I fully expect that to see that in Q4, hence the adjustment. But in regard our cloud-only question that you asked, look, we went from starting the year selling self-managed and cloud. And you see how self-managed and cloud have started converging, cloud going up. And where it means it internally is, hey, if a rep was selling two types of offerings, only selling one makes it easier for them to sell. Basically, the velocity over the long term can increase our legal process to approve our deal changes, because obviously cloud requires different kind of stuff than self-managed. All of those things are baking into as we walk into next year in its entirety.
Eric Brown : In regards, yes, to the second of your questions, we're managing costs by doing a number of things. So first of all, I'd like to point out, we have not reduced our primary sales quota capacity. That's not part of this. And so it's in other areas. And so we give a very specific stat that of the net new people that we hired in the quarter, 250 or so, over 90% of the net new hires were in low-cost locations. So there's not a lot of technology companies of our scale that have such a well-distributed footprint. And we have low-cost locations virtually every function replicated. And so we have very proactively hired in a more cost-effective location. And we're doing a whole host of other things. We're optimizing renewals. We've talked about that. You can see the improvements year-over-year. That all contributes to the bottom line. And we're very focused on cost of goods. Exactly what are our third-party cloud costs, for example, how do we optimize the use of our clouds. We spend a huge amount of time in that. And that's bearing fruit as well, and you see that evidenced in both gross margin and the op income margin. And again, you called out the improvements in unlevered free cash flow. So we're back on track. DSOs are [sub-70] days. And that's just an example of us operating tightly.
Operator: Our next question comes from Andrew Nowinski from Wells Fargo.
Andrew Nowinski : So I just want to start off with a quick clarification. I was wondering, last quarter, as it relates to FX, you factored in about $45 million in FX headwinds into your revenue outlook. In this quarter, it looks like it was -- is that another $47 million on top of that? Or is that just an incremental $2 million?
Eric Brown : It's neither. So let me clarify. When we do the classic year-over-year FX impact, so we've got Q1, Q2, Q3 and now we have our assumption for Q4. And we do that delta on FX compared to actual rates in the 4 quarters last year. The full year impact to revenue is $47 million. So it's a classic full year-over-year analysis. And the comparable analysis for total ARR is $23 million. The $45 million had a combination of year-over-year and variations to like our assumed guidance assumptions. So it was a bit of a mixed bag. So I just want to clarify it. It's $47 million on a clean year-over-year basis for rev in '23 and a clean year-over-year basis for ARR. The FX impact in Q3, for example, versus our expectations was more moderate. So just to give you a comparison point, yes, we had strengthened the U.S. dollar assumptions going into Q3. And our FX impact on the revenue side was only about $1.5 million for the quarter compared to the assumptions 90 days ago.
Andrew Nowinski : Okay. Understood. And then I had a question on your net retention rate. I know it only dropped down maybe 1 point down to 112%. But I was wondering if you could parse that out. Are you getting less of an uplift on renewals due to the macro environment? Or are you seeing also an increase in churn that's lowering a little?
Eric Brown : We're actually seeing a strengthening year-over-year by a couple of percentage points in the overall subscription renewal rate. So that's all things, that's self-managed plus DaaS plus cloud altogether. So that kind of primary metric is actually improving. And the NRR metric is -- again, it's a function of the mix in any given quarter of a net new logo versus existing. So as the net new mix changes a little bit, it drives down NRR in the short term. And like we said, we've always expected this to be somewhat of a choppy metric because of that mix effect. And that, by the way, is why with all the focus appropriately so on cloud ARR, we're going to be introducing or strongly considering introducing a net new metric for cloud NRR only, because we think that, that's going to map much more directly into the higher growth cloud mechanics that we have, which is underpinned by consumption-based pricing.
Operator: Our next question comes from Koji Ikeda from Bank of America.
Koji Ikeda : Just a housekeeping question maybe for Eric first. I wanted to dig in a little bit about the FX commentary to ARR. In the guidance, you mentioned $23 million FX affecting total ARR. But when you were talking about the third quarter results, you did give out some breakout of how to think about the $8 million effect to ARR in the third quarter. So I was wondering, looking at the guidance for the full year, is it safe to assume similar types of ratios given for the third quarter results for FX and apply it to the subscription and cloud ARR. Is that a good way to break out the $23 million FX effect?
Eric Brown : Yes, I'll break it down further. And again, this is the classic you're over way not a delta FX versus guidance assumption 90 days ago. So to recap, we believe it's $23 million impact for the full year on total ARR. And it's basically $10 million to $12 million each on overall sub and maintenance. And inside of sub, it's about $3 million on cloud. Koji Ikeda BofA Securities, Research Division – VP & Research Analyst Got it. That is super helpful. And then just one follow-up from me. I wanted to dig in a little bit on IPU trends. You gave some color in the prepared commentary, but I was looking for some additional color. Was there any sort of slower or more conservative consumption trends with IPU contracts in the third quarter? Or did it come in as expected? And how should we be thinking about IPU consumption trends that's embedded in the guidance.
Amit Walia : Yes. So none of the above, Koji. I think what we saw is elongation of deal cycles was not correlated to consumption. Customers obviously buying IPUs in whatever deals happened, which happened, were pretty consistent with what we saw last quarter or the quarter before. So that's locking -- that's closing in a new deal. And then using the IPUs or using the consumption of the platform, of what they already bought, I mentioned the transactions per month growth, that shows that once they bought and our active efforts are to help a customer adopt, you can see that they are adopting and using. So elongation of a deal cycle and a deal not coming in because of that was separate to anything happening on customers not buying enough IPU score is not correlated, and we didn't see one impact the other.
Eric Brown : Yes. I think that it's important to emphasize the fact that we only introduced IPUs about 1.5 years ago. So as of today, in about 1.5 years, we've gone from 0% of cloud new business mix on IPUs to 54%. So we're past that 50% mark. And again, we continue to get really positive reception from customers on the IPU construct.
Koji Ikeda : Got it. And just one quick follow-up, if I may. Amit, you mentioned transactions. Is there -- is transactions per month a good way -- or a way to think about IPU trends on any given quarter? Is that a good metric to use?
Amit Walia : I think -- so going forward, where we were coming from, not -- because not all of the consumption was based on IPUs because -- today, that transaction per month is some IPU, some non-IPU. Because, obviously, IPUs, as Eric said, we just introduced, what, one year, 1.5 years ago. But the transaction per month is using of our products on our platform. Going forward, it will all map to IPUs because customers would buy an IPU and use the platform. So they're going to merge. But effectively, it's the usage of the products on the platform, which is all IPU-driven going forward. So they merge over there.
Operator: Our next question today comes from Tyler Radke from Citi.
Tyler Radke : Amit and Eric, I wanted to just get your thoughts on how you're framing 2023, given the macro environment. Obviously, I imagine you're going through the planning cycle at the moment. But if you could just kind of frame for us how you're thinking about the impacts from a macro perspective. I know in the past, you talked about aspiring for kind of the 40% sustainability in cloud ARR. And then on the cost side, you talked about hiring in some lower-cost geographies. Should we kind of think about margins having troughed here? And how are you just thinking about margin expansion into next year, considering the macro environment?
Amit Walia : I'll give you a philosophical answer, and then Eric will go into the details. First of all, when we think of -- and I'll be very clear. When we think of any location, we never think of a location as a low-cost, low-value location or a high-cost, high-value location, and I want to be very clear. I'll give you an example. We have -- each of our -- as an example, we have a handful of engineering hubs across the globe, each one of them do the same work. We do not have the concept of a low-cost, low-value location at all.  Having said that, I think, we have the ability because we have a global footprint, and we have strategically have -- using that as an example, I'd say similarly for whether it's customer adoption, customer success or any other function of the company, we have the ability to move our hiring profile to different places, given what we have done in the last many years in building those up. And we will use that proactively to our advantage and especially at times in Kansas. So I just want to clarify that, and I'll hand it over to Eric for talking about other things.
Eric Brown : Yes. It's a little premature to comment on 2023. It's -- we need to see how Q4 plays out. We have reflected what we know today in our Q4 guidance, and that assumes continuing headwinds from foreign exchange and the aforementioned macro concerns such as elongated deal cycles. That's all factored into our Q4 assumptions. And we'll defer formal 2023 guidance until the Q4 earnings call itself. But at a high level, we are prioritizing two things for 2023. First, we'll manage a balanced, profitable company and remain focused on margins. I mean you see this in our commitment to op income and cash flow for the full year 2022, notwithstanding some pretty dramatic changes in the last three quarters since we all collectively opened this calendar year. And second, we'll remain focused on cloud growth, both from migrations and net new and leverage from improvements in renewal rates. And we'll be operating as a cloud-first company, continuing to drive that mix shift from self-managed to cloud and consumption-based cloud.
Tyler Radke : And a follow-up just on the environment as it relates to the competition, given that we are in an environment with reduced VC funding seems, obviously, job postings drop across the industry. Have you seen any pickups in terms of win rates, given kind of the consolidation opportunity in the industry? Or secondly, has that helped you on hiring and maybe just around wage inflation?
Amit Walia : I think -- Tyler, I think you can combine all of them into one thing. I think there are 3 things we focus on. One is the platform allows us to actually have all of those data management capabilities in a single place with a single pricing model, which if I'm a customer definitely makes it easier for them to transact, use, all those kind of things. So I think the bets we made years ago, and we are scaling up now, we continue to remain fully committed and drive that down. Second is, look, I think we are focused on where the customer use cases are. We have seen no changes to our win rates so far. We saw elongation of deal cycles. We continue to monitor that. Our goal is to drive up all of those conversion metrics for us. And make no mistake, that's something that our teams look very closely when they get into a customer discussion. And we'll stay -- we will keep that in mind all the time. And then, of course, I think, look, talking about wages and everything, I think we're all -- all of us are seeing the same thing happening across the globe. We've had a very focused strategy of hiring across the right functions at the right places. That's helped us, continue to help us. So all of these things in all are going to be helpful in general, yes. I think right now, we should just stay focused on, several-letter word for me, execute. Execute, execute, execute in Q4, and that's what we're maniacally focused on.
Operator: Our next question today comes from Pinjalim Bora from JPMorgan.
Pinjalim Bora: Great. Two questions. One on the IPU, since it crossed the 50% level, help us understand how you're incentivizing the sales reps or the renewals teams to ensure that the customer is consuming the IPUs that they signed up for in order to prevent kind of a risk of a downgrade upon renewal, given the volatile macro environment that we are in. And second question, do you think the current macro headwinds kind of push out any of the migration plans that customers have, the power center to cloud migrations?
Amit Walia : Thanks, Pinjalim. I think to the first question, basically, look, I think the question got asked, and also, I'll let combine all of them. We started IPUs, what, 1.5 years ago, you heard Eric say. We were a cloud-first company this year, and as I said, moving to a cloud-only company. What do all these things mean? Absolutely, as we walk through this year and we were transacting this year, we had our field 100% focused on driving new deals. And we have a renewal team that works really well. You see the mid-90s renewal rates to make sure that customers renew and customers renew, because our products work, all the use cases. It's a closed loop. As we go to a cloud-only world, expect more of those things to change where we will obviously have the field teams also becoming important in the concept of adoption as in like having the skin in the game to drive usage and consumption, because obviously, from there comes more. That's one of the things in the cloud-only world. We'll obviously talk a lot about it as we come -- meet again in February. So yes, second to your question -- so expect that and things like that in the cloud-only world for us to be doing. We're already in the throes of it internally as a company. Secondly, to your question on migration, look, migrations ticked up a little bit. I mean I used the word little bit, because 2.4% to 2.8%, so it didn't go down. I think what we see is no big headwinds, our renewal rates, everything else stayed pretty well on maintenance. I think I expect that whatever we baked in this will be like this. Customers have taken pretty large hyperscaler contracts. They have to also drive those initiatives. So what may happen is that, hey, if I was thinking of doing a big bang, I may do a half bang. But the way we've been going about migrations in a methodical way, that doesn't change much. In fact, if anything, we're working behind the scenes. We've talked about migrations ad infinitum on these calls that, that's an area where we have a lot of attention to be sure we can increase the velocity of that in terms of execution. And remember, I always say, we closed migration deals. There is a lag between them to show up on our ARR side because we have to complete that work. So that lag also exists. So hasn't slowed down. We are very focused on that one to help increase it, many things that we can do that we are working behind the scenes. We'll talk a lot more about that when we walk into next year.
Operator: Our final question comes from Fred Havemeyer from Macquarie.
Frederick Havemeyer : I think mostly a housekeeping related question as well, and apologies if you've already answered this. But I wanted to ask regarding the duration impacts that were discussed earlier on the call. What specifically is driving this duration shift towards shorter-duration contracts that's resulting in the headwind from ASC 606?
Eric Brown : Yes, it's a great question, and it was not asked previously. And so, yes, we've always known that this is going to be a bit of a variability factor. And so yes, we experienced slightly shorter duration in our net new transactions. We noted about 4 months lower than what we expected. It's not driven per se by customers wanting to shorten up their commitments, but it's rather more of an internal operational item specific to us because when we -- we have a large installed base, as you know, and we very frequently are conducting net new transactions for self-managed at the same time that we're doing renewals. And what we found is that we've probably overemphasized the need to co-term a renewal with a net new transaction. And so we're seeing kind of 13-, 14-month new transactions, co-terms and renewal as opposed to staying focus on kind of keeping the net new transactions at two years. And so it's more of a co-term process item as opposed to a change in demand or customer intent. And it's something we'll work on over the next two quarters to get it back to kind of two years even. It dropped to 1.85 years or thereabouts compared to typically two to 2.1 years.
Amit Walia : And let me clarify, that was only for self-managed, not for cloud, only for self-managed.
Frederick Havemeyer : So just a follow-up on that. Is any of the duration impact that you're describing here, too, or the mechanics of this, is it related at all to what you were describing as a shift towards becoming more of a cloud -- rather, becoming a cloud-focused sales company?
Amit Walia : Not really. I think this was one of those things where I think Eric mentioned, it's purely -- one of those things that we have to operationally just fix in like co-terms, things that we could easily -- this has nothing to do with the cloud. I think this is something we on our own can easily fix. We have to go back, it will take a quarter or two, but it's tied to that. With even whatever self-managed is gone, we just have to put methodical attention to that, and it will come back. And again, it's again only focused on self-managed.
Operator: There are no further questions at this time. I will now hand you back over to Amit Walia for closing remarks.
Amit Walia : Thank you. Well, look, first of all, thank you so much for taking the time today. I'll wrap up by saying that, look, for the first 3 quarters of the year in a year where we started and where we are, I think we all can say that a lot has changed. I think we feel pretty good about the strength of the business in terms of, look, we ended Q3 with high-end of subscription ARR towards the high end op inc, and barring effects, pretty much coming close to the cloud ARR number that we had committed to. I talked about a lot of operational metrics, the IDMC platform, the 91% growth in transactions, the subscription ARR per customer growing and the kind of customers with their mission-critical workloads that we are processing. And of course, the continued focus on R&D and strategic partnerships. We're moving -- you can see even in the course of this year, you've seen us mature and move from cloud-first to more and more cloud-only company, and that's where we are going. You've heard that from -- loud and clear, and you see the whole consumption-based pricing transition that we've made. We feel really good about that. Now for sure, we all faced a degradation towards the last two months of last quarter. We baked that in for all of Q4. But I'd say that we feel pretty good about where we are as a business, in spite of all this stuff, serving the kind of customers we have and running a significant scale cloud business, creating 80% gross margin and operating margin. So we feel really good about that. Those are the areas we're going to continue to remain focused. And I will echo what I said, we will be flexible and we will be agile, and we will be great stewards of capital. You can count on us for that. So with that, thank you very much for taking the time today, and I appreciate your time.
Operator: That concludes today's Informatica Corporation Fiscal Third Quarter 2022 Financial Results. You may now disconnect your lines.